Operator: Welcome to the Greenbrook TMS Inc. Q1 2022 Results Conference Call and Webcast. All lines are currently on mute to prevent any background noise. I would like to remind you that this conference call is being recorded today and is also being webcast on the company's website at www.greenbrooktms.com under the Investor section Event. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on current available information. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that would cause actual results or events to differ materially from current expectations are discussed in the risk factors section of the company's Annual Report on Form 20-F for the fiscal year ended December 31, 2021 and in the risk and certainties section of the management discussion and analysis for the period ended March 31, 2022 and in the company’s other materials filed with the Canadian securities regulatory authorities and the US Securities and Exchange Commission from time-to-time, which are available on SEDAR, EDGAR and on the company's website. Any forward-looking statements speaks only as of the date on which it is made and the company disclaims any intent or obligation to update any forward-looking statements unless required by law. I would like to turn the meeting over to Mr. Bill Leonard, President and Chief Executive Officer of Greenbrook TMS, and Erns Loubser, Chief Financial Officer. Go ahead please, Mr. Leonard.
Bill Leonard: Thank you, Erika, and thank you to everyone for joining our conference call and webcast today. Despite the impact of the Omicron COVID-19 variant early in the quarter, the company continued to see growth in both revenue and new patient starts compared to Q1 2021. We quarterly revenue increased by 15% in Q1 2022 to $13.1 million as compared to Q1 2021, while new patient starts increased by 15% to a record 1,817 in Q1 2022 as compared to Q1 2021, which we believe points to strong forward momentum into Q2 2022 as patient volumes started to normalize late in the quarter. During Q1 2022, the company again needed to manage staff COVID-19 protocols and referrals were down as many psychiatrists did not return to in-person practices and we're not accepting new patients. The results you are seeing are through exceptional efforts of our team working to continue to deliver the highest quality of patient care in a very challenging operating environment, where mental health remains a key focus. We are excited about the ongoing rollout of Spravato program at select TMS centers, which continued through Q1 2022. This program supports our long-term business plan of utilizing our network of TMS centers deliver new and innovative treatments to patients suffering from MDD and other mental health disorders. Providing Spravato at our TMS centers enables us to leverage excess capacity in our existing centers, thereby enhancing our profit margins. As of March 31, 2022, the company has expanded its offering of Spravato to 23 TMS centers across the US. We will continue to explore opportunities to expand our Spravato offering throughout the US. From a development perspective, as at March 31, 2022, our footprint consisted of 148 centers in 17 states, up from 128 centers as of March 31, 2021. Lastly, we're extremely excited to announce that we have entered into an agreement to acquire Success TMS. This acquisition would add 45 active TMS centers to our footprint with new management regions in the states of Illinois, New Jersey, Nevada, Pennsylvania and Wisconsin, bringing our pro forma footprint to 191 active TMS centers. We believe that this acquisition will be transformative to not only the business but through the entire behavioral health space. It has the potential to add more than $30 million in revenue, opening up several new regions while enhancing our management capabilities in this tremendous growth industry. We anticipate that the financial benefits will be significant as we believe that the near-term synergies resulting from this acquisition may be able to produce – produce EBITDA positive operations for the combined business and accelerate our time line to profitability. Furthermore, we believe that the acquisition will deepen management expertise, access robust payer and physician networks and transform the business profile to access the required debt financing sources. We also believe that the all equity deal structure aligns incentives to build substantial shareholder value as a combined entity. And now for a more detailed review of the company's financial and operating performance, I will turn it over to our CFO, Erns Loubser.
Erns Loubser: Thank you, Bill. As Bill mentioned, quarterly revenue increased by 15% to $13.1 million as compared to Q1 2021. This was predominantly due to the achieved TMS East and Central acquisition, which was completed in Q4 2021 as well as the increase in our new patient starts and treatment volumes from strong growth within our mature regions. Year-over-year growth was, however, heavily impacted by COVID-19 Omicron variant, especially early in the quarter.  Typical seasonal factors, amplified by harsh winter weather and the impact of COVID-19 Omicron variant also affected growth out of Q4 2021. Average revenue per treatment increased by 2% to 221 in Q1 2022 as compared to Q1 2021. This increase was primarily attributable to a change in payer mix and the geographical distribution of revenue. Same-region sales growth was 8.3% in Q1 2022. Q1 2022 resulted in an entity-wide regional operating loss of $1 million, a 30% reduction in the losses compared to Q1 2021. This was a result of the increase in revenue, offset by an increase in direct center and regional costs as a result of operating 146 active TMS centers as of March 31, 2022 as compared to 119 active TMS centers as of March 31, 2021.  Corporate G&A for Q1 2021 increased by 9% to $5.1 million as compared to $4.7 million in Q1 2021. Compared to Q4 2021, corporate G&A increased by only 3%, demonstrating a flattening of the G&A as the company matures. We continue to have operating leverage in our platform and the planned revenue ramp and the contribution from Success TMS acquisition paid with the stabilization in spend support the near-term path to profitability. The loss for the period income brands of loss increased by 2% during Q1 2022 as compared to Q1 2021. From a balance sheet perspective, the accounts receivable balance in Q1 2022 decrease compared to Q4 2021, as we continue to see strong cash collection, building off the momentum we saw in the second half of 2021. Our cash balance was $5.7 million, including restricted cash as at March 31, 2022. As Bill mentioned, we are very excited about the Success TMS transaction, which we expect will provide the company with significant scale and synergies and which we believe provides a highly compelling debt financing prospect. In conjunction with the acquisition, we are seeking additional debt financing from third-party lenders to fund the company's expansion plan and for general, corporate and working capital purposes. The prospective debt is expected to strengthen the company's balance sheet, with a goal to fund the combined entity to cash flow self sufficiently. We are currently in various stages of discussions with prospective lenders. Although, there can be no assurance that the debt financing will be completed on terms favorable to the company or at all. We believe the combined business is a very attractive prospect to potential lenders. Moving to our core operating metrics. As of the end of Q1, 2021, the total TMS centers increased 16% to high 148 from 128 a year ago. Compared to Q1 2021, the number of consultation performs decreased by 3% to 3,501, while the number of new patient starts increased by 15% to a record of 1,817. This points to stronger conversion rates, due to higher quality leads as a result of enhanced targeted marketing in Q1, 2022, as compared to Q1 2021. The number of treatments performed increased by 13% to 59,067, as compared to Q1 2021. As Bill mentioned, market conditions were challenging during Q1, 2022. However, patients start bounced back strongly late in the quarter, leading to what we believe is strong momentum into Q2, 2022. Furthermore, we expect the acquisition of Success TMS will provide significant scale to the business, with an anticipated immediate post-closing annualized contribution of over $30 million in revenue, representing over 50% growth as compared to Greenbrook's 2021 annual revenue. We also believe tangible near-term synergies will accelerate the path to profitability and cash flow self-sufficiency. Back to you, Bill.
Bill Leonard: Thanks, Erns. Despite the impact of the COVID-19 Omicron variant earlier in the quarter, we continue to see resilient growth in both revenue and new patient starts, with the latter producing a record result during Q1, 2022. Our Spravato program adds to our repertoire of innovative treatments, building on the company's long-term business plan of utilizing its center network as the platform to serve patients suffering major depression disorder and other mental health disorders. We expect this to be a core growth driver going forward. I would like to reiterate that we are extremely proud of our dedicated team that continues to deliver the highest level of patient care in a very challenging operating environment. Most importantly, we believe our business is a needed one. Mental health treatment and demand is at unprecedented levels. Our business fundamentals remain sound. And with the acquisition of Success TMS, we believe we’ll become an even more prominent player in the behavioral health market, positioning us better than ever to serve the unmet need for mental health support across the United States. We now have treated over 24,000 patients, with over 840,000 treatments performed, a significant positive impact on the lives of so many patients suffering from mental health disorders. We look forward to keeping you updated on the progress of the company. Thank you for your time today. And with that, operator, we will now take questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Your first question comes from the line of David Martin from Bloom Burton. Your line is open.
David Martin: Good morning, Bill and Erns, A few questions. So the press release and Bill, you mentioned that success would potentially add $30 million in revenues or more. I'm just wondering, what were the revenues in the most recent quarter for that business? And also, what was the EBITDA for the most recent reported quarter?
Bill Leonard: So David, we haven't disclosed that publicly. But what I can say, when we reference north of $30 million in annualized revenue, that's kind of on the run rate basis, that's the basis for making that statement. And as we said, there's significant synergies on acquiring that business on a pro forma basis, that would be a possible business.
David Martin: Okay. But what's the average age of the success centers versus the average age of your centers? And what about size? I'm not sure, how you measure it. Are they comparable in size on an average basis?
Bill Leonard: It's a really good question, David. A little bit of a different footprint. So there's kind of two vintages of centers. They've got about 30 locations that is established, that we will label established. And then about 15 or just not fully established and the balance being very newly established, so typically bigger centers generating a fairly significant amount in average revenue and a nice margin profile on those centers.
David Martin: And then what about the typical size of their centers? Is it in line with the size of your centers? And I'm not talking how much revenue you're putting through now, but like the size of the footprint and the number of TMS devices?
Bill Leonard: Yes, they’re very similar to ours in terms of square footage. They have the ability to kind of put up their up to four devices or more in the center. Their core centers are similar to our original centers that we started out of Greenbrook versus the ones that we acquired to achieve.
David Martin: Okay. And one more question, then I'll get back in the queue. So with this potential acquisition, you'd added a number of new regions or states, but there is some overlap in Florida. I'm wondering, are you overlapping on a city basis and you'd shut some of the centers down, or is there no real overlap there even though you're both in the same state?
Bill Leonard: Yes. Great question, David. There's actually no overlap with the centers whatsoever. And our Greenbrook business was more on the left inside of Florida, and they're more in kind of the Miami, Fort Lauderdale area. So of the centers, we've talked about on this call, there's no overlap. So it would be a nice growth in our footprint.
David Martin: Okay. And is Florida one of their new regions, or is that one of their established regions?
Bill Leonard: That's an established region.
David Martin: Okay. Okay. That's it for me. I'll get back in the queue. Thanks.
Operator: Your next question comes from the line of Frank Takkinen from Lake Street. Your line is open.
Frank Takkinen: Great. Hey Bill, Erns, congrats on the quarter. You had some success. I wanted to just kind of follow up on that maturity of the network question and more pointed, it looked like the per site productivity was really solid for Success TMS, and by my math, trending over $700,000 on average basis. So maybe talk a little bit to that per site productivity and the different factors playing into that and how they're able to get the productivity to that level?
Bill Leonard: Yeah, I'll take that one and Erns you can jump in. I think when you look at their model, they've done a great job of establishing a significant brand in each marketplace they went to. I think the one thing that differs a little bit between the two organizations is we tend to add more centers, create more density in the marketplace, while they have kind of -- don't have as much density but have done a really good job of driving those patients to their existing footprint. So I think that's where you see at the higher level of revenue per center in terms of utilization as we tend to eat our young a little bit by establishing a wide group of centers within a region anywhere from 8% to 12%, if not more.
Frank Takkinen: Got it. Okay. That's helpful. And then maybe I think you've spoken to a 25% to 30% regional operating profitability for Greenbrook. Do you think for the combined business, is this still an active metric to be looking at? And by my math, I think if you start to factor in 25% to 30% operating profitability, you hit the breakeven pretty quick, so kind of lines up with the commentary you're providing. But maybe just speak to that metric and how it plays into cash flow positive operations in the combined business?
Erns Loubser: Yeah, absolutely. Good question. So yeah, we -- as we said before, that's kind of our target margins and what we do see in more mature regions. And with the Success, adding the Success platform and the synergies that we can execute there, we can certainly -- we believe we can meet those operating margin targets in -- or trend up to there in the near-term. So yeah, that's absolutely still the goal. And as I mentioned earlier, that's why we're very excited about this acquisition, because it can accelerate our path to profitability.
Frank Takkinen: Okay, perfect. And then just last one for me. Maybe specific to Greenbrook on the new patient starts number. Can you breakout how that looked across January, February, March and how that's pointed into the first month and a half or so in Q2?
Erns Loubser: Yeah. So that was very heavily weighted or as I said heavily weighted towards the latter part of the quarter. January and February were very heavily impacted by Omicron, we had doctor absences, staff absences and patients being hesitant to come in. So -- and then we had a really, as we previously mentioned, the really strong March and that spilled into April.
Frank Takkinen: Okay, perfect. I'll stop there. Congrats again, guys.
Bill Leonard: Thanks.
Erns Loubser: Thanks.
Operator: Your next question comes from the line of Tania Armstrong-Whitworth from Canaccord Genuity. Your line is open.
Tania Armstrong-Whitworth: Good morning. Congrats on the quarter and the Success deal. Wondering, I guess, why it was elected to do an all-stock transaction versus doing some of this in cash given your current share price?
Bill Leonard: I think, Tania, a couple of things there. I think the way the valuation mechanism works; this was really on a pro forma basis or relative contribution. So we've got value for value. So I think if market conditions were little differently – different, we will probably have to pay a bigger premium for this business. So we believe it's an attractive entry point to dilute on this basis as opposed to just raising cash and buying that. So it's really the relative value contribution, and that's how we came up with the 40% dilution. I'm sorry, if you could repeat the second part of your question?
Tania Armstrong-Whitworth: No, no. You answered my question. That was it. And then secondly, the debt that you're seeking in conjunction with this deal, would this qualify as the -- I guess, the equity/subordinated debt you need to raise under the terms of that Oxford term loan?
Bill Leonard: Yes. The intention is to do a global financing that gets rid of that obligation. And as I mentioned, we're in discussions with various parties as it relates to the potential to do that.
Tania Armstrong-Whitworth: Perfect. Perfect. And then, I guess on the quarter as well, we -- the pricing came down a little bit quarter-over-quarter. I know you mentioned there was some seasonality there, but I guess it was on the assumption that seasonality should really affect pricing. It would more so just affect volumes. Could you talk to why -- like, why do that pricing change apart from shift in regional mix and payer mix, et cetera?
Bill Leonard: So you have a couple of things. Like you said, you've got the geographical contribution that plays a part there and then payer mix, which is fairly consistent, but it shifts from time-to-time. And then you also have the phenomenon in Q1 where, the higher deductible commercial plan are sometimes less desirable just to start treatment, which you typically see a little bit of a bias to public payers, which kind of drives down probably a pays a little bit less typically, which drives down that number a little bit in Q1. Typically, it's consistent with, albeit the variable consideration playing in, but kind of a consistent picture we see, in the comparative quarter.
Tania Armstrong-Whitworth: Understood, that makes perfect sense. Thank you for that color. I'll leave it there. Thank you.
Operator: Your next question comes from the line of Justin Keywood from Stifel GMP. Your line is open.
Justin Keywood: Good morning. Thanks for taking my call. I was wondering, if you could just provide a bit of background how you came across success, part of some of the due diligence that you went through and if this was a competitive bid offer?
Bill Leonard: Thanks, Just. Good question. Look, I've known Ben Klein for a long time. He was one of the people has been in the industry from the start, a very well-known and behavioral health marketplace has been involved in other businesses in behavioral health. He's run a great business. And we've always stayed in touch in terms of the two businesses. They're a large provider within the space, very well known, and we just always kind of continue the dialogue at meetings and just in general, just a catch up on industry trends. So from that standpoint, just like we did with other prior acquisitions, there's always a relationship. It's somewhat of a small industry, so to speak, and you tend to kind of get together at times to kind of make sure we're all focused on delivering a great patient care that we're all capable of. So that's kind of how we got together with success. We are very well aware of them throughout their time expanding as they move from the East Coast down to Florida and then into the Midwest.
Justin Keywood: Great. And how I understand it, it seems like the total market share for GTMS after the transaction, it would probably be around 15%. First, if that's an accurate assessment. And then, if there's other networks, like success still out there, or is the industry rather pretty fragmented afterwards?
Erns Loubser: Let me take that, two parts. I'll go backwards on this. The industry is still roughly near 3,000 installed devices. 90% of it still tends to be an individual psychiatrist with the device in their office. There are some big players, which I would consider more regional. I would say, the Achieve Group, both on the West Coast and the GBs in the Massachusetts area, and now Success. So we're probably three of the larger players in the space. It's hard to kind of determine exactly, who the biggest is because there's very few public companies in that mix. So there tends to be 90% individual doctors and then you get about 10% kind of regional corporate players, which I would say, defined as anywhere between 5 to 10 up to 25 locations. So as you can see, Success is a significant player in the space. I think you have a second part to that. Can you repeat that, Justin?
Justin Keywood: I was asking about the market share after the transaction.
Bill Leonard: Yeah. Again, it's hard to determine. I'd only be speculating, which I don't want to do, but I would think that based on Success of businesses, or is it – it would be a significant portion of the industry as a whole.
Justin Keywood: Okay. Understood. And then just on the closing of the transaction, I read in the press release that, it could take up to six months, which seems pretty long. What would be the determining factors to have the transaction close sooner versus later?
Erns Loubser: I mean, so there's a bunch of closing conditions on that on the transaction. We obviously have all intention to close quickly. We – one of the closing conditions is obviously the debt financing. I think, as I said, this is a highly financeable deal with the share structure. There is incentives to build value together. So we've got confidence that, we can close sooner than that. But you obviously – you don't know, how long these things stay flat, we have every intention to close much sooner than that.
Justin Keywood: Okay. Understood. Thank you for taking my questions.
Bill Leonard: Thanks, Justin.
Operator: [Operator Instructions] Your next question comes from the line of David Martin from Bloom Burton.
David Martin: Thanks for taking my follow-ups. One of the questions you had earlier was about the revenue per center and it being higher at Success now than it is at your current centers. And you mentioned that, that's because of the different approach to regions where you put more centers into a region and Success puts one center and tries to pull more patients in. Two questions, is it also due to the maturity of their centers and you do expect your existing centers to grow up into the range of revenue per center that Success sees? And the second question related to it is, do you think you would change your strategy and make it more like Success's going forward, or will you build concentration and Success's area like you've been doing in yours?
Bill Leonard: I think to start with, we're excited to work with Success. And I think from the start, you're going to take the best of both worlds. Both companies do some things really well, and you're going to kind of maximize that opportunity. And again, as we said, and just to clarify, it's not the Success only does one center. They don't cover the region like we do in a sense that, if you took our Rockville center and just let that alone, it's going to generate a higher level of revenue, but then we kind of look at it as a regional pros because that daily need for the treatment. So we built around that center. We've added six, seven, eight cycles centers to that mix, which inherently grows the pie bigger but made that independent center impacted from a revenue standpoint. Erns, anything you want to add to that?
Erns Loubser: Yes. I'd add to that, absolutely, we still expect our centers to ramp to the maturity. And we've always said that 700,000, 800,000 per center is the potential there. Success in terms of their strategy, it's probably slightly higher on the revenue per center as it relates to target. But as Bill mentioned, I think there's a lot of learnings here and both on the synergy side and the development side, we're going to take best-of-breed and combine the model to optimize the total footprint. There's obviously merits in going closer to your patients. You access patients that may not be available with a single hub center and then there is some benefit, obviously, to having single center. So I think it's going to be a blended approach going forward, both parties learning from each other to become a stronger business together.
David Martin: Okay. Great. Another thing, your number of regional personnel went down, but the shared services corporate personnel went up and so did TMS providers. So I'm just wondering, adding it all together, did your overall employee count go down or up? And I'm talking versus Q4 2021? And are TMS providers considered company personnel?
Bill Leonard: So TMS provided a good thing about that went up, is covering doctors. Those are typically independent contractors that gets paid on a per fee basis. The downturn that you noticed from 386 to 340 in regional personnel as some -- as we've said previously, we're really driving utilization and driving towards profitability. So with the natural attrition cycle, I think we've become more efficient on the regional side and then the shared services personnel, those are addition of no big department heads or core personnel. It was more kind of on the billing as we strengthen billing reimbursement and call center capabilities.
David Martin: So did your corporate personnel count go down?
Bill Leonard: No, the corporate personnel didn't go down. The regional business went down quite significantly.
David Martin: Okay. Okay. Last question. You announced a new deal with Neuronetics a little while back. I'm wondering, are the economics more favorable for you or they negotiate a higher price? And are you still using BrainsWay devices?
Bill Leonard: Yeah. We did announce a renewal with Neuronetics. They've been a great partner of ours, and we've been a great partner with them. So we continue to kind of work together to drive the business. There's some opportunities to kind of increase marketing on both sides that is beneficial to us and if you will drive patients that benefits both Neuronetics and us. As far as BrainsWay concerned, again, a great partner with us. We continue to work with them closely. So for now, we're really thrilled to work with all the manufacturers, specifically the two we work with the most to drive more patients and more awareness in the industry.
David Martin: Great. Thanks. That's it for me.
Operator: There are no further questions at this time. I would like to turn the call back to our presenters for any closing remarks.
Bill Leonard: Yeah. We're really excited about the opportunity to work to success and really kind of drive towards what is needed in the industry, more focus on mental health. Our platform has gotten stronger, and we look forward to updating you on the next call. Enjoy the start of the summer, and we'll talk to you soon.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect.